Yuan Siong: Good morning, everyone, and welcome to our 2021 interim results presentation. We hope that you and your families are safe and well. I want to start by thanking AIA's outstanding people for their dedication and professionalism, helping our customers navigate uncertainty with uninterrupted support while embracing new ways of working. The increasing demand for our products and new business momentum that has been building since last year has continued, driving our strong performance in the first half. I will now take you through the highlights. In the first 6 months of 2021, we delivered growth in all our key financial metrics. VONB, our leading growth indicator, was up by 22% to over USD 1.8 billion, demonstrating the power of AIA's unrivaled distribution and product platforms. Our large and growing in-force portfolio supported increases in operating profit after tax and underlying free surplus generation. Both EV Equity and shareholders' allocated equity reached record highs, and our capital position remains very strong. The Board has declared an increase of 8.6% in the interim dividend. These strong results reflect the focused execution of our growth strategy, resilience of our operating model, quality of our people and our disciplined financial management. Our geographical diversification and scale across Asia are distinctive competitive advantages for AIA. As you can see on the slide, all of our reported segments delivered double-digit VONB growth on a like-for-like basis compared with last year. VONB was also higher than pre-pandemic levels of the first half of 2019 for all of our segments except Hong Kong. Our differentiated business in Mainland China was again the largest contributor to the group's VONB and was up by 20%. AIA Hong Kong grew despite travel restrictions that continue to limit sales to Mainland Chinese visitors. VONB from our domestic customers increased by 16%, and sales to Mainland Chinese visitors at our Macau branch have increased progressively, accounting for more than 1/3 of AIA Macau's total ANP in the first half. Our focus on scaling the capacity and productivity of our Premier Agency and close collaboration with our leading local bank partners supported our excellent results in Thailand and Malaysia. We achieved impressive growth in Singapore, and other markets also delivered a double-digit increase. Overall, we have achieved a very strong and broad-based performance across the group. These results demonstrate that we have the right strategic priorities to extend our long track record of delivering shareholder value. Our very strong VONB growth was led by an excellent performance from our Premier Agency, up 25% and contributing over 80% of the group's VONB. Since the beginning of the pandemic, we have enhanced our powerful digital agency tools that span the entire value chain from recruitment and training through to lead generation, purchase and customer service. High adoption rates have reinforced the resilience of our business even as movement restrictions were reinstated in many of our markets. Integrating social media marketing into our digital tools has created new and compelling ways for agents to engage customers with strong results, generating over 1 million new leads in the first half. The superior quality of AIA's unparalleled platform is clear. Agency leaders, active agents and productivity have all increased significantly, and greater use of technology raises our standards ever higher. Last month, we were once again named the #1 Million Dollar Round Table company globally for the seventh consecutive year with a 25% year-on-year increase in registered members. One year ago, I announced our ambitious growth strategy. At the heart of our transformation is a step change in the use of technology, digital and analytics. By upgrading to fully modern architecture and systems, we scale our strategic initiatives and drive greater efficiency, connectivity and ease of working. We are clearly outpacing the global financial services industry with our rapid adoption of cloud technology, and more than 50% of our infrastructure is now hosted in the cloud. Our use of artificial intelligence and analytics has also advanced at pace with over 100 major projects, enhancing every aspect of our business in 2021. We have accelerated digital processing across the entire customer service journey, from new business origination through to claims adjudication and payments. Nearly all of our new policies are issued electronically and use digital payment methods. Speed and accuracy are critical to delivering industry-leading customer service, and nearly 90% of customer inquiries are resolved within the first contact. Submission and payment of all claims are predominantly digital, and the majority of all transactions across the group are fully automated from end-to-end with no need for human intervention. We are making strong progress through the disciplined execution of our priorities, and we are on track to achieve our ambitious targets. The wide-ranging use of technology, digital and analytics at AIA China supports the acceleration of our expansion plans to capture the unique growth opportunity available to us in Mainland China. For our Premier Agency, universal adoption of advanced digital tools drive faster scale, productivity and efficiency while ensuring our strict quality standards are maintained. Our successful model focused on long-term professional careers generates attractive income levels, drawing high-quality new talent to AIA, and this also holds true for our newest operations. Our 100% ownership and highly digitalized platform delivers strong and sustainable results as demonstrated by the consistent growth across all of our existing geographies. Since our subsidiarization in July last year, our geographical expansion has continued at speed. We launched our Sichuan operation within just 4 months of receiving initial approval from the CBIRC, and we have already been granted approval to prepare for our next branch in Hubei, the eighth largest province by GDP. I'm delighted that we are making excellent progress as we replicate our highly successful expansion model. While our primary focus is on organic growth across all of our markets, we have capabilities and financial strength to enhance our business through strategic investments and partnerships. Our investment in China Post Life further increases our exposure to the enormous growth opportunities in the Chinese life insurance market. It has access to the largest retail financial distribution network in Mainland China with 40,000 financial outlets nationwide and more than 600 million retail customers. Our investment enables AIA to capture the substantial potential for value creation from distribution channels and customer segments that are highly complementary to AIA China. We have also launched our 15-year exclusive partnership with Bank of East Asia in Hong Kong and Mainland China, giving us access to more than 1.2 million loyal customers in Hong Kong and additional capabilities to help us harness the exciting prospects of the Greater Bay Area. New distribution models bring new growth opportunities, and we continue to form alliances with best-in-class next-generation digital platform partners. Recent partnerships included TNG Digital, Malaysia's largest e-wallet; and Tiki, Vietnam's leading e-commerce retailer. Together, these add more than 30 million potential customers outside our usual target demographics in these 2 markets. By extending our competitive advantages across geographies, distribution, product and customer experience, we have delivered growth in profitable new business. This, in turn, drives higher free surplus generation and dividends as we have demonstrated yet again. Today's headline figures and our consistent track record reflect the strong fundamentals of our business and that we are executing the right strategy to deliver ever-greater shareholder value. Garth will now take you through the details of our financial performance.
Garth Jones: Thanks, Yuan Siong, and good morning, everyone. AIA has delivered a strong financial performance with continued business momentum and growth across all our key financial metrics. Let me now take you through the results in more detail. The group delivered very strong VONB growth of 22% compared with the first half of 2020 to more than $1.8 billion. To better reflect underlying performance at the segment level, we've shown growth on a like-for-like basis where appropriate. The resulting growth in VONB of 30% reflects our broad-based performance across the group. Following an excellent start to the year, AIA China grew by 20%, allowing for withholding tax applied from July last year and remain the largest contributor to group VONB. Hong Kong's VONB from our domestic customer segment grew strongly by 16%, reflecting the quality of our agency force. The 4 segments outside Mainland China and Hong Kong that predominantly cover Southeast Asian markets made up close to half the group's VONB and delivered excellent growth of 33% in aggregate. Thailand posted impressive 52% VONB growth and accounted for the same proportion of group VONB as Hong Kong. This is a substantial increase from pre-pandemic levels and reflects a significantly higher new business mix of protection and unit-linked products. Singapore also grew very strongly by 32%, while Malaysia was our fastest-growing segment with VONB up by 89%. As you can see on the slide, with Other Markets growth of 10% despite ongoing COVID restrictions in many of our markets, all of our reportable segments delivered double-digit VONB growth on a like-for-like basis. AIA's unique portfolio of businesses, diverse products and high-quality distribution enable us to deploy capital at highly attractive rates of return for shareholders. Strong growth was supported by an improvement in VONB margin, which increased by 4.6 percentage points to 59%. This included a positive shift in product mix and reduced acquisition expense overruns, reflecting a strong recovery in new business volumes. Protection business accounted for 64% of VONB in the first half of 2021, up from 59% last year; while unit-linked VONB doubled year-on-year, increasing to 11% of group VONB following the successful launch of new products in Thailand. These results demonstrate the quality of our new business, and this is a major factor in our confidence in the sustainability and resilience of the group's future performance. EV Equity increased to a record $71.7 billion before shareholder dividends. Very strong VONB growth and continued positive operating variances of $363 million supported an increase in EV operating profit to $4.1 billion. Positive capital market movements compared with our economic assumptions contributed $1 billion in the first half. The effect of foreign exchange translation movements was negative $612 million, and the payment of the final shareholder dividend from 2020 was $1.6 billion. Closing EV Equity is shown after a further deduction of $4.8 billion for additional capital and reserves and the present value of future unallocated group office expenses. Our EV methodology uses spot market yields and trends over time to our long-term assumptions which aim to smooth out short-term volatility in markets. While AIA is not immune to capital market movements, you can see from the sensitivities that our financial results remain resilient against short-term market volatility. We have a substantial allowance for risk in our discount rates, including a risk premium of more than 500 basis points for the group overall at the end of the first half, a similar level to that at IPO. Last year, we changed our economic assumptions at the midyear. However, we've reverted to our previous practice, and these remain unchanged from those assumed at 31st December 2020. You can see from the chart that our assumptions have remained prudent over time, and at the end of June, market rates were significantly above our long-term assumptions. We believe that our financial discipline is a key differentiator for AIA and has helped us deliver a strong track record of sustainable value creation for shareholders over many years. The consistent outperformance of our operating assumptions has added more than $3.5 billion to embedded value since our IPO. We've also provided comparisons of AIA's embedded value using 2 alternative methodologies: the first, a market-consistent approach; and second, on a European embedded value basis. Under both of these, AIA's reported EV Equity will be more than $10 billion higher. Our reported VONB would also increase substantially by more than 20% on both bases. These results reinforce confidence and demonstrate the prudence of our long-standing embedded value methodology over time. Now moving to IFRS earnings. The group's operating profit after tax increased by 5% to $3.2 billion. Underlying OPAT growth was 8%, adjusting for withholding tax in China and normalized claims compared with the exceptionally low levels we highlighted last year. Operating margin remained very strong at 17.3%, underpinned by our high quality sources of earnings. AIA Hong Kong delivered 5% higher OPAT, exceeding $1 billion in the first half. AIA China's increase was 4%, equivalent to 10%, excluding the effect of withholding tax. Strong new business growth drove increased earnings from both Singapore and Malaysia, while Thailand's OPAT was broadly stable as strong new business performance offset negative lapse experience and the effect of lower investment returns. Other Markets' 12% increase was supported by positive claims experience from disability insurance policies in Australia. As with VONB, the geographic mix of our OPAT is well diversified, with the 4 segments mainly covering Southeast Asia producing 44% of the group total. Our strategy has consistently focused on writing protection and long-term savings products that provide affordable solutions, meeting the real needs of our customers. In the first half of 2021, 98% of our TWPI was from regular premium business, providing additional future premiums to our large in-force book. AIA's high quality sources of earnings are predominantly insurance and fee-based, which combined with our geographically diverse portfolio underpins the resilience of our earnings growth. Our disciplined strategy of focusing on value and consistently looking to improve the quality of our portfolio has delivered a strong track record of double-digit compound annual growth in OPAT. Operating profit after tax has added more than $43 billion to shareholders' allocated equity since IPO. Shareholders' allocated equity provides a clearer reflection of the underlying drivers of the change in equity before the IFRS accounting treatment of bonds. While movements in the market value of equities causes short-term volatility in net profit, as you can see from the very small cumulative investment return movements, these fluctuations have averaged out over time. After shareholder dividend payments of more than $12.4 billion, shareholders' allocated equity has increased by more than 10% per annum compound to $48.9 billion. Finally, capital and dividends. Group LCSM cover ratio is now formally the principal measure of the group's regulatory solvency position, taking a fully consolidated view of capital adequacy based on a summation of minimum regulatory capital requirements across our businesses. Including $5.8 billion of existing senior notes approved as eligible capital since the end of 2020, our cover ratio increased over the first half to a very strong 412%. We've also been constructively engaged with the Hong Kong Insurance Authority in the formulation of the new risk-based capital regime that will apply to AIA Hong Kong. The new regime is likely to be closer to an economic approach and hence, more reflective of the way we manage our business. As a result, we anticipate that our regulatory capital position will remain very strong on this new basis. We expect the rules to be finalized by the end of this year. And while we still believe that the first fully effective reporting date will be in 2024, the Hong Kong Insurance Authority is engaged with the industry in developing plans for early adoption. Subject to finalization, we intend to disclose our capital position under Hong Kong RBC in our 2021 annual results. We also intend to provide further details of our capital management plans. As you know, we ensure that we maintain a prudent balance sheet through capital market stress conditions, taking into consideration the financial flexibility needed to fund our significant new business growth opportunities and support our prudent, sustainable and progressive dividend policy. Underlying free surplus generation was $3.4 billion in the first half. We reinvested $921 million in new business growth, and free surplus gained $3.9 billion from positive capital market movements. Overall, free surplus increased to $17.9 billion after the payment of shareholder dividends. Since IPO, our cumulative underlying free surplus generation is close to $44 billion. This demonstrates AIA's focus on high quality, profitable new business that generates strong and stable earnings and cash flow. With such attractive reinvestment economics, our ability to invest capital in new business growth remains an important priority and a significant differentiator for AIA. We have reinvested over $15 billion into new business, generating over $26 billion of net VONB. Over time, this investment in profitable new business growth supports the generation of increasing amounts of free surplus and cash, which in turn allows us to invest in further new business growth, maintain a prudent balance sheet and pay progressive dividends. This has been clearly demonstrated in our results in previous years and again in the first half of 2021. In aggregate, we have paid shareholder dividends of $12.4 billion, and we have selectively taken advantage of inorganic opportunities to drive further value. Our stock of free surplus has increased by $12.9 billion since IPO, in line with the growth in our balance sheet. We believe that the combination of AIA's strong capital generation and substantial growth opportunities is rare in the insurance industry. AIA has delivered annual shareholder dividend growth of 17% per annum compound since 2011, and the Board has declared a further 8.6% increase in the interim dividend to HKD 0.38 per share. The Board continues to follow AIA's established, prudent, sustainable and progressive dividend policy, allowing for future growth opportunities and the financial flexibility of the group. In conclusion, the group has delivered another strong set of results in the first half of 2021 with growth across all of our key financial metrics. VONB was up by 22%, and all of our reportable segments delivered double-digit VONB growth on a like-for-like basis compared with the first half of 2020. VONB was also higher than pre-pandemic levels for all of our segments other than Hong Kong. EV Equity and shareholders' allocated equity reached record highs, and our very strong financial position is reflected in a significant increase in both free surplus and our group LCSM cover ratio. The Board has declared a further increase of 8.6% in interim dividend. Our results have once again demonstrated our ability to deliver strong and consistent performances across growth, earnings, capital and cash that will allow us to sustain the delivery of attractive financial returns to our shareholders for a long time to come. I'll now hand back to Yuan Siong.
Yuan Siong: Thank you, Garth. AIA is a great company with significant competitive advantages and incredible opportunities to grow shareholder value. As you can see, Asian economic growth is expected to remain strong and structurally resilient, creating unprecedented levels of wealth. By 2030, cumulative new GDP across AIA's markets will hit $16 trillion, the same as the rest of the world combined. As incomes rise, spending on life and health insurance accelerates with a step change as people join the middle classes. And what makes this so compelling for Asia and for AIA is the absolute size of the populations where this is happening. Across our footprint, the middle class population is set to rise by 1.1 billion by 2030 to a total population of 2.6 billion. The compounding of rapid economic growth, increasing affluence and rising insurance demand generates immense and resilient potential for life insurance in Asia, and AIA is best placed to capture this opportunity. COVID-19 has forced the acceleration of many of these long-term structural trends and brought financial protection, wellness and health care increasingly top of mind for consumers. Our recent research shows that more than 70% of people agree that insurance has become more important for meeting long-term savings and protection needs. Since the beginning of the pandemic, we have seen a greater demand for our protection products, accounting for close to 2/3 of our VONB in the first half and growth of more than 30%. VONB from AIA Vitality-integrated products has increased by more than 70%, delivering improved health outcomes for our customers. There has been an exponential increase in consumers using digital and online capabilities. Following an initial spike in April 2020, telemedicine usage has been sustained at 38x pre-pandemic levels and engagement with digital health applications continues to grow rapidly. Our Premier Agency completed more than $0.5 billion of new business sales in the first half using remote capabilities that did not exist before the pandemic. The structural need for our protection products, health and wellness services and high-quality advice has never been more apparent, and our purpose of helping people live Healthier, Longer, Better Lives has never been more relevant. Through aligning our strategy with the structural, social and economic growth drivers in the region, we are building on AIA's strong track record and remarkable competitive advantages to drive profitable growth well into the future. Let me now take you through how we are capturing the opportunities available to AIA on a regional basis, starting with ASEAN. We see enormous potential for growth for our businesses given low insurance penetration, strong economic growth and substantial urbanization that will see the middle class population exceed 0.5 billion by 2030. AIA has a long history in ASEAN with significant scale in each of our markets. Today, Thailand, Singapore and Malaysia together contribute 1/3 of the group's VONB. Adding Vietnam, Indonesia and Philippines, AIA ranks #1 by total ANP across these 6 markets. We have strong operating models with a proven track record. Disciplined execution of our strategy ensures that AIA continues to deliver growth as we further scale our Premier Agency and leverage our leading bank and digital partners. Our digital tools have enabled us to accelerate recruitment in agency without compromising quality. These tools also help offset disruption. While COVID-19 containment measures tightened across many of our markets, we delivered strong VONB growth compared to pre-pandemic levels. I'm confident that AIA is in prime position to build on our strengths and seize the enormous opportunities of ASEAN. India presents another exceptional long-term opportunity for our group. The strength of economic growth combined with a young, educated and rapidly urbanizing population is unmatched. Half the population are under the age of 26, and within the next 4 years, 20% the world's working age population is expected to be Indian. By 2030, middle class India will double in size to more than 1 billion. Rising wealth and health care costs are driving increased life insurance demand, and penetration levels are arising from very low levels with gathering speed. Our joint venture with Tata has a highly focused and differentiated multichannel distribution strategy. We are making strong progress in scaling our Premier Agency model in India as we aim to replicate our success in other markets. Leveraging AIA's vast expertise across Asia, we have significantly grown the number of agency leaders and agents. And our focus on quality, disciplined execution and digitalization results in the most productive agents in the market. We have a diverse partnership business which includes leading banks, brokers and digital partners. Tata AIA's pioneering use of technology, digital and analytics leads the group's approach to delivering seamless connectivity and a best-in-class customer experience, driving our success in a multitude of open architecture partnerships. Our high-quality multichannel distribution strategy has delivered strong growth, and I'm incredibly proud that our differentiated product strategy has made Tata AIA the market leader in retail protection. Even as India faced a new wave of COVID-19 cases and the resumption of lockdowns, our online and remote tools enabled business continuity and growth in the first half. We have made tremendous progress in our journey so far, and the long-term outlook for life insurance in India is incredibly exciting. AIA has unrivaled capabilities to meet the growing needs for life and health insurance in Hong Kong and the Greater Bay Area. The large and expanding protection gaps across mortality, health and retirement are in urgent need of closing for the affluent and aging population in Hong Kong. AIA's ability to meet these needs is unmatched through our Premier Agency that provides high-quality advice on our comprehensive product suite. Our market-leading agency has 29% of our agents MDRT registered, and AIA Hong Kong is the #1 MDRT company in the world. As we look across to the Greater Bay Area, there is huge potential for AIA given the combination of superior economic growth, low insurance penetration and a large and growing highly educated middle-class population. AIA is unique with 100% ownership of our operations, enabling our shareholders to fully benefit from the growth prospects from this dynamic region. AIA is ranked in the top 3 for agency new business in the GBA cities in Guangdong province. And of course, we are the leader in Hong Kong and Macau. The recent addition of the Bank of East Asia as a new strategic distribution partner with a long history and one of the largest networks among foreign banks further strengthens AIA's competitive advantages in the GBA. As regulations evolve, our businesses are ideally positioned to leverage the exciting prospects available to us. Finally, Mainland China, where our strong track record speaks for itself. Even with the effects of the pandemic, since 2015, we have delivered compound annual growth in VONB of 28%. Year-by-year, you can see that our performance has been broad-based across our geographies. Our big 5 cities of Beijing, Shanghai, Shenzhen, Guangzhou and Suzhou have grown strongly while the rest of the cities where we are present have also grown rapidly, proving our ability to replicate our Premier Agency in new cities. China's economic progress continues to drive the expansion of its middle class consumers, further increasing the demand for long-term savings and protection. By 2030, AIA's target market, even before expansion into new regions, will double, providing huge headroom for continued growth as we deepen our geographic presence. I said earlier, we are accelerating our expansion into new provinces across Mainland China with the recent launch in Sichuan province, followed by approval to prepare our new operation in Hubei. On the left, you can see our impressive results as we expanded our Premier Agency model into new cities outside our big 5. The combination of strong agency growth and higher productivity generated a tenfold increase in VONB within 5 years. We generated more than $110 million of VONB from these cities in just the first 6 months of 2017, and they continue to power ahead. In each new city, we successfully replicate our model, supported by management from our established operations, our incredibly powerful digital tools and our scalable operating model. As we enter into new provinces, our potential target market increases 5x. Our recent approvals add more than 100 million potential new customers to AIA China with 300 million more to come from our other target provinces. AIA China is built to capture the extraordinary opportunity that Mainland China presents for us. With our Premier Agency at its core, AIA's differentiated model delivers strong and sustainable results. Our agents earn more than 3x the average local income, and they are 4x as productive as the industry average. This is powerful proof of our successful model, enabling us to attract, develop and retain the best agents. Our high levels of digitalization drive enhanced productivity, efficiency and scalability, ensuring that our strict quality standards and leading customer experience are maintained as we expand. And our innovative and difficult-to-replicate propositions, integrated with AIA's health and wellness ecosystem, allow us to meet the growing protection and long-term savings needs of our customers as they evolve. I'm very confident that our differentiated strategy and disciplined execution will continue to deliver growth for many years. As you heard from Garth, AIA's financial discipline is the foundation of the group's strong and consistent delivery and underpins our ability to capture all of the tremendous opportunities across Asia. The execution of our strategy will extend our track record of superior profitable growth, driving strong earnings, free surplus generation and prudent, sustainable and progressive dividends. As I have shown you, AIA is the right company to leverage the powerful structural drivers of growth across Asia. We operate in the most attractive markets in the world for life insurance. We are 100% focused on Asia and have a high-quality, diversified business with substantial growth opportunities in all our markets. Our strategy is clear and ambitious. And I am confident through focused execution, we will achieve our purpose of helping millions of people live Healthier, Longer, Better Lives while delivering profitable growth and shareholder value well into the future.
Lance Burbidge: We'll now move to the Q&A session, and this will be conducted by teleconference. [Operator Instructions]. I'm Lance Burbidge, Chief Investor Relations Officer. Together with me today, we obviously have Yuan Siong and Garth. We also have our regional Chief Executives and other members of our group executive committee. So with that, we're ready to take your questions. Operator, please start the Q&A.
Operator: [Operator Instructions]. Our first question comes from Jenny Jiang at Morgan Stanley.
Jenny Jiang: Two questions from me. First of all, I want to talk about the Hong Kong market first because we achieved a very high growth in all the markets except for Hong Kong. There might be still some challenge in the next 6 to 12 months. Maybe management can give us a little bit of update on your plan to stabilize this operation and just to make sure agents are still happy. Maybe give us a little bit details in terms of the measures we're taking. We've seen that Macau is very strong and cost is coming down as well. Anything else? Especially, what's driving this very strong growth in the local segment? I think Hong Kong was perceived as a more saturated market before. So the second question for me, of course, is China. I think everyone was focusing on China, and outperformance is very, very resilient and especially amid this industry slowdown is very impressive. Can we ask, so what we did differently from local peers? I'm sure Yuan Siong probably know the market very well given your past experience, and maybe you can share with us your view on China's long-term growth prospects. I know we increased investment in China Post Life. So we're, apparently, very positive about China as well. I think there's some popular concern that the critical illness segment is getting slightly saturated than before. Do you agree with that? What are other big opportunities in terms of other product segments? That's all for me.
Yuan Siong: Okay. Thank you, Jenny. Yes, I'm very pleased with the strong set of results. I think this demonstrates the quality of our people; our focused execution of our strategy; the resilience of our operating model, which is underpinned by our best-in-class technology and digital and analytics capabilities; and our very disciplined financial management. I think as demonstrated, we achieved growth in all our segments compared to pre-pandemic levels. We also achieved growth in all our segments except, as you pointed out, Hong Kong. But I'm also very pleased with the result that we achieved in Hong Kong. We achieved significant growth in the domestic segment. As you know, the borders remain closed with the Mainland China. And we believe that, from what we have observed in Macau that -- with the borders opening in the future, that the MCV business will come back. I'll hand over to Jacky to talk a bit more about Hong Kong.
Jacky Chan: Yes. Thank you, Yuan Siong. I would like to say that, in fact, Hong Kong will grow in this year compared to last year first half, and the domestic segment grew by 16%. In fact, I would say the Hong Kong agency force is a clear market leader in Hong Kong. It ranked #1 in the agency, and our Hong Kong agency also has 29% of the agency in MDRT. Actually, combining Hong Kong and Macau, we have over 6,000 MDRT registered member in this year. Hong Kong, actually, in this year first half, we really tap into the opportunity of protection. We sold a lot more protection product compared to last year. In fact, our VONB from our 1-3 health insurance scheme grew double digit. Our VONB from Vitality-integrated product grew strong double digit compared to last year. So I would like to say that the Hong Kong agency momentum has been very strong, and we also registered double-digit increase in our agent recruitment in the first half of this year.
Yuan Siong: I think on China, as you saw, China remains our largest contributor to VONB. And in the first half, we achieved very strong results from Mainland China. On a like-for-like basis, our VONB grew by 20%. I think this is driven by our very distinctive and highly unique Premier Agency model, our focus on quality. As we showed in the presentation, in terms of all the quality metrics, activity ratio, in active income per agent, VONB per agent, I think we have demonstrated that we have a very, very strong franchise in Mainland China. We see that there's significant opportunities in our existing provinces to further -- there's a lot of headroom in our existing provinces. Currently, our penetration in the existing territories remains low. And because of our unique position, we will be able to enjoy further expansion opportunities. And as we demonstrated -- as we showed in our presentation, as we expand across all these new provinces, our addressable market will grow by 5x. So I think we are very excited about the opportunities. I think -- obviously, you mentioned about the [indiscernible] all these low cost in health insurance has been promoted in Mainland China. The way I see this that these products actually provide a very basic level of coverage. Our Premier Agency model is really targeted at the needs of very highly -- the middle class and more affluent segment of the market. And the -- in fact, I believe that the popularity of these low-cost insurance products will improve the propensity of the population to buy even higher levels of coverage, and this is something that has been demonstrated during the first half of 2021.
Operator: The next question comes from Thomas Wang at Goldman Sachs.
Thomas Wang: Congrats on the results. If I can ask to deep dive, digging on China a little bit. The Sichuan province, we see there's more than 400 agents. So that's a very fast expansion compared to sort of what we previously talked about for Tianjin, Shijiazhuang, which is like about 1 to 2 years to get to kind of 300 to 400 agent, that kind of level. Can you sort of update us sort of how you're thinking now on whenever you open a new branch that the pace of expansion in that new branch? And also, give us sort of some color on how Tianjin and Shijiazhuang doing because I see the slide from -- on contribution from these 2 city plus Chengdu, but I'm assuming Chengdu is relatively small. So I'm assuming that's mainly Tianjin and Shijiazhuang. So a little bit update on maybe the number of agents there or, say, the pace of the expansion in Hebei province?
Yuan Siong: I'm very pleased with the preparations and the launch of our Sichuan branch. I think the team did a really fantastic job. And the fact that we were able to launch the Sichuan branch within 5 months of the approval of the -- from CBIRC to start preparing for the Sichuan branch, it demonstrates that we have a very well-oiled and proven model for preparing for new branches. And this will be very important for us. As you know, we are in a very unique position that over the next few years, we will be in a position to be opening up in more and more provinces. We recently got our approval to prepare for our Hubei branch. And I can also say that the progress in terms of the preparation is also very -- well, it's on track. And I think -- and we have a very good relationship and we are very well regarded by the CBIRC in China, and they continue to have a very high regard for AIA for the quality of our operations. And we are in constant dialogue with CBIRC to accelerate our expansion efforts across the Mainland China. So very pleased with the progress so far, and we hope that we will be able to launch our Hubei branch and we'll be able to obtain approval for subsequent branch openings. I'll hand over to Jacky to talk more about the progress with Sichuan and with Tianjin and Shijiazhuang.
Jacky Chan: Yes. Thank you, Yuan Siong. In fact, the key differentiation of AIA China is our Premier Agency force. So whenever we go into a new province, a new city, we want to build a very strong solid foundation. So we focus on quality recruitment. When we went into Tianjin, Shijiazhuang and lately Sichuan, we have popped this strategy. We want to grow -- lay down a very strong foundation for our people. And we are very happy to see that for Sichuan, since our opening of the business in late March until June, we have about 400 agents already, and over 70% of them are university graduates. And in fact, as a whole, Tianjin, Shijiazhuang and Sichuan together in the first half of 2021, our VONB grew by 86%, and the number of active agents actually doubled. So we are able to continue to attract the quality new agent to join our new operation, and we will continue to maintain this high standard as we expand into other provinces and new cities.
Operator: The next question comes from MW Kim at JPMorgan.
MW Kim: So congratulations at a very strong set of the result. I have 2 questions, if I could. The first, now the business is clearly down to the pre-pandemic level. Today, there was a several slide to discuss the strategic priority. So under the big picture, what would be the important driver to accelerate the journey from here? Would it be the digital or the distribution channel? And also for last 18 months in pandemic, what was the company's great lesson and then the new discovery in terms of the business strategy perspective? My next question is about India. So I want to ask the Tata AIA Life. So based on the local disclosure, the Tata AIA, the new life policy look -- have the largest insured FUM per policy in the industry. So could you please share a bit more about the next step, including the further capital deployment outlook into the country?
Yuan Siong: Okay. Thank you, MW. Now on the strategic outlook and the strategic priorities, I think, first, I'll touch on our lessons from COVID, right? As we showed in our presentation, we have gone through 1.5 years of living through the pandemic. And what we have seen and we have been very encouraged is the fact that 70% -- more than 70% of consumers in Asia say they plan to put aside more for savings and that insurance has become more important to meet their long-term savings and protection needs. And we also showed strong growth in our protection VONB, great increase in our Vitality-integrated product sales. So I think this is one thing that we have observed very clearly from the pandemic, and that is the very rapidly changing consumer mindset. And this rapidly changing consumer mindset has really accelerated some of these very strong structural drivers for life insurance and health insurance in Asia. I'm very convinced that we are in the right region for life insurance and health insurance, and we will continue to be focused in Asia. The opportunities for AIA is more -- tremendous in China, in ASEAN. And you have a question about India. We think that India is really presents itself as a very attractive market for AIA with enormous potential in the future. And I'll hand over to Bill to talk about India.
William Lisle: Thanks, Yuan Siong. Thank, MW, for the question. Look, we recognize the regulations now allow FDI to 74% in India. But as you would expect, we wouldn't comment on any of our partnership arrangements. But what I can share with you, we were one of the first to increase our stake to 49% back in 2016. And I think we're exceptionally well positioned to take the opportunities that India will give us in the coming years. I think it's fair to say there's been short-term challenges, as everyone has seen, through COVID. But even through that period, India has delivered strong results, very much premised on our multi-distribution strategy and our focus on protection. As you mentioned, that focus will continue. We're #1 in retail protection. We're also #1 in agent productivity, and we've got an exceptional array of bank partners that, again, both agency and partnership delivered strong growth. As a partner, we have -- Tata, as our JV partner, is an outstanding partner, very aligned on building a quality business focused on protection. And looking at the opportunity ahead of us, it's a large population, predominantly under the age of 30, projected by 2030 to give us 1 billion middle class and affluent. So great opportunity, well positioned with an outstanding partner. So very excited about India in the future.
Operator: [Operator Instructions]. Our next question comes from Kailesh Mistry at HSBC.
Kailesh Mistry: I've got three questions actually. The first one is on China, not surprisingly. Can you just talk a little bit about growth in total agents and growth in total active agents in China over the first half? On China Post Life, once it's completed, what are the prospects for a distribution relationship for AIA China? And could you just elaborate on whether those would then be limited to the provinces in which you have a presence? Second question is around this statistic you've given on social media integration, which has led to around $100 million of sales. What's the product mix of these? Is it basically the same as the overall business because it goes into the normal sort of agency hopper process? And then lastly, can you provide a little bit more color on the product trends driving both Singapore and Malaysia new business value growth in the first half?
Yuan Siong: Maybe, Jacky, you like to talk about China and China Post Life? And Bill, can you talk about sim?
Jacky Chan: Yes. Thank you, Yuan Siong. So let me start by talking about the China growth in agents and also our agency force and China Post Life. First of all, as I always mentioned and emphasized, AIA China focus on a differentiated agency strategy, which is a Premier Agency strategy. And in the first half of last year, while there was a pandemic in Mainland China, there was a series lockdown, so the agency recruitment activity, training, et cetera, are all go to online. And in fact, after the containment measure quickly relaxed as the COVID-19 situation has been well controlled in China, we shift those agent recruitment and training activity back to the off-line. And in fact, we found that online recruitment is more difficult for selection and ensuring the agent are really committed to the career, et cetera. And because of our very stringent production and activity requirement, so many of those online recruitment agent, they fall off during the first half of the year. But in fact, when we look into the recruitment for off-line, actually, we had growth in our recruitment number in first half this year compared to our first half last year. And our China agency activity has 8% increase compared to the first half last year as well as our productivity increase both in terms of case per active agent. And more notably, our average income per active agent actually grow by 15% compared to first half of last year. So I would say, overall speaking, we continue to maintain our high-quality Premier Agency force in AIA China. And as to China Post Life, I want to emphasize that this is really an investment of AIA into China Post Life, which is very complementary to our existing operation of AIA China. AIA China focus more on the mass affluent and affluent market, while China Post Life gives us the opportunity to penetrate the big -- vast -- mass majority of the China market. So actually, where AIA or China Post Life operate in same province or not, actually, it's not really the key. It gives us a complementary opportunity to penetrate into the bigger, larger customer segment in Mainland China.
Yuan Siong: Yes. Just add on to what Jacky said about the China agency force. I think -- I had the opportunity to visit our agency offices in China last year and meeting with all the agency managers and many of the agents. And I'm really taken -- struck by the quality of our agency force in China. And this is reflected by the strong performance of our Mainland China despite the fact that China market in the first year, if you see the performance of some of the other competitors, has been a bit challenging. But I think one point that I'd like to highlight is the fact that because of our differentiated model, our agents actually are targeting the middle class and affluent segment of the market. And also, because of the quality of our agency force, they actually earn a much better income than compared to the rest of the industry. And in fact, compared to somebody who's working full time in the respective city that we operate in, we demonstrated that the average income of our agents is like 3x the average income of the working population. That means that it is quite attractive for somebody to come and work in AIA as an insurance agent, I think, because they can earn a much, much better income. And being an agent, they have a lot more freedom and they don't have to be constrained in the office setting. Now on China Post Life, as Jacky explained, is an investment which will allow us to benefit from China Post Life's very targeted mass market customer segment. At the same time, we also have exploring business cooperation opportunities with China Post Group and China Post Bank. So as part of this business cooperation, we're also involved in distribution of AIA China's products where -- to the appropriate segment in the markets or in the cities or provinces where AIA has presence in.
William Lisle: Thanks. Kailesh, thanks for the question on social media and marketing. Just stepping back a little bit, I think the focus for AIA is continue to invest significantly in our end-to-end, digitally enabled Premier Agency model. So right across our digital tools ecosystem we've invested. You've seen some of the very high adoption rates, which has really driven the resilience of the business and our Premier Agency. So we've got a 100% remote digital sales capabilities across all of our markets, 95% of our new business is digitally submitted, over 45% of our recruits are now recruited through our iRecruit digital platform and 98% of digital training adoption across all of our markets. So the social media integration is an extension of our digital platform that's really focused on helping our agents prospect, engage and nurture in their own social media community. Basically, you're giving them the power of being their own Chief Marketing Officer. So if you look, it's still in the very early stages of rollout. We've rolled it out across 6 markets in H1: China, India, Singapore, Malaysia, Philippines and Hong Kong. And it's already generated over 1 million leads and 100 million ANP. Just to give you 2 proof points, and again, it's still in the early stages. In Malaysia, our agents are 40% more productive if they're using the social media platform. And in Singapore, we have an outstanding result on the back of a very simple COVID protection where we generated over 150,000 leads in H1, and that produced over 10% of the total agency sales in H1. So still early days. It's very much about empowering our agents to be able to, again, engage and nurture their prospects within their social media environment and use very simple protection products. Then they've got the opportunity to upsell and cross-sell a more sophisticated protection, unit-linked products, et cetera.
Operator: The next question comes from Michael Chang [ph] at CGS-CIMB Securities.
Unidentified Analyst: It's Michael Chang [ph] here. On the first question, basically -- this is probably more for Bill. The unit-linked performance was very strong. Can you just maybe elaborate on what succeeded so well in Thailand? Because I recall that way back in, I think, 2013, next-generation unit-linked was launched back then. Unit-linked only seem to have taken off this year. Why has it taken it so long? And maybe to what extent can this strong performance in unit-linked plus the riders attached to it be rolled out to other markets? Second question is maybe Garth or Yuan Siong [ph], on the RBC. Appreciate that it's going to be adopted, and there's going to be more details announced at the full year results. But without giving exact figures on the impact, what's your preliminary expectations in terms of the direction of the impact? Is it positive or is it negative in terms of the improved ratios or at least the buffers over the regulatory minimum requirement? And then lastly, for China, just some feedback. I recall maybe a couple of years back when AIA was expanding into new regions, geographical proximity to current regions where it operates and maybe the more coastal seaboard, the more affluent regions, seem to be more a priority. But looking back, Sichuan and Hubei seems to be a bit more of a surprise. Maybe AIA could elaborate on what criteria, if any, in terms of the next region that it's looking at for expansion?
Yuan Siong: Bill, Thailand?
William Lisle: Michael, thanks for the question. Yes, Thailand, as you've seen, we saw a very strong set of results, 52% VONB growth and a number of key initiatives that was driving that. As you mentioned, unit-linked sales is one of them. As you also mentioned, tracking back to when we launched the FA program, which is key to be able to drive the change in product mix, unit-linked with high rider attachment -- which we've taken, by the way, is best practice from our businesses across Malaysia and Singapore and continue to roll this out across Asia. But you need a more full time, more professional agency force that are well trained and very confident to be able to engage with customers and sell these type of more sophisticated products. So as we've progressed our FA journey -- and today, our FA agents are about 15% of our total agency force. They represent 30% of our total VONB. And hence, as you can see over the last 6 to 12 months, we've been able to scale that unit-linked product mix with a high rider attachment, giving us a significant improvement in margin to 93%. But that's also being driven, and as you saw from Yuan Siong's presentation, there's a much higher awareness, not just in Thailand but across Asia as we've done our consumer research, regarding protection, the need for protection for obvious reasons. What we've also seen in Thailand is strong recruitment -- strong double-digit recruitment and high adoption of our new digital remote sales. And we were the first in the market, too, on our iSign digital remote sales tool to be able to remotely sell investment-linked products, which, again, is a distinct advantage for us.
Yuan Siong: And I think we have a really powerful brand name in Thailand. I think up to 1/3 of insurance policies issued in Thailand actually have been -- come from with AIA. So our brand name, our recognition, we've been in Thailand, what, 90 years?
William Lisle: 90 years.
Yuan Siong: Yes. 
William Lisle: And I think that all of that driving through has also given us a very strong growth in MDRTs, 30% growth. We're #1 in Thailand, as we are across 7 different markets in Asia, for MDRT.
Yuan Siong: On RBC?
Garth Jones: Yes, on RBC -- thanks, Michael [ph]. Our solvency position under the current HK remains very strong. The new regime is going to be more economic in its approach. And as a result, it will be more reflective of the way that we run the business. We've been involved in the quizzes. We've been actively engaged in the dialogue. The details -- the final details remain unclear, but we expect that the final basis will be clearer and be issued during the rest of the year in the second half. With that, we'll have an absolutely clear position. We do expect that our solvency position will remain very strong. And as I said, it will be aligned better with how we manage the business.
Yuan Siong: Yes. And on China expansion, yes, we are currently vigorously preparing for our Hubei branch launch. And in our presentation, we have also told you that we have identified 10 more provinces or municipalities which will be our priority in terms of new geographic expansion. And these new -- these 10 provinces or municipalities will increase our addressable middle class target market by 300 million. I think we all know that in China, these provinces is the equivalent of a midsized country in the rest of the world. So we are very excited about the opportunity for us to be able to expand into these new provinces over the next few years.
Operator: The final question comes from Leon Qi at Daiwa.
Leon Qi: Once again, congratulations on the excellent set of results. I have 3 questions today. First question is a follow-up on China Post Life. I understand China Post Life may not be comparable with our existing bancassurance relationships in Mainland China. Is there any comparable business models that we are looking at either within China or in our Asia regional operations? And how would you see the current growth model of China Post Life given it has been relatively more capital heavy over the past few years? And how would you define a success after a few years in your cooperation with China Post Life? And second question is on your capital management. Given Garth has just touched on Hong Kong RBC and we are likely to have more details through the rest of the year, and also in Mainland China, we have upcoming C-ROSS Phase 2 which may impact our solvency ratio China, how would you see your group level LCSM ratio under GWS? Is there a comfortable level especially after RBC to be finalized in the next few months? It seems that over -- across the region of your operations, it will be a relatively quiet period in terms of our regulatory changes on the solvency. Would you be more actively using your capital to do M&As for inorganic growth? Or you will revisit your dividend payout ratio given the very comfortable level of solvency currently and potentially some benefits from RBC? Lastly, I have a question for Yuan Siong, again. Well, Yuan Siong, you basically joined AIA around 1.5 years ago when -- exactly when COVID just started. What is the biggest surprise, it could be either positive or negative, since you joined AIA 1.5 years ago? And it could be either related to COVID or not. What is the biggest difference to your expectation on either AIA or the overall Asian life insurance market compared with 1.5 years?
Yuan Siong: Okay. On China Post Life, I think when we announced the investment into the China Post Life, we actually did very extensive Q&A with a lot of investors. So I think this is a very good investment. Through this investment, we will pick up 25% in China Post Life. In China Post -- and through this, as you know, China Post Life is really targeted at the mass market in Mainland China. They have a 600 million -- they have access to 600 million customers, 40,000 financial outlets. And China Post Group, which is the parent of China Post Life, I believe has one of the most powerful distribution networks addressing the mass market. So by investing in the 24.99% in China Post Life will allow us to benefit from the growth in value in the mass market. This is very complementary with our AIA China strategy, which is very targeted at the middle class and affluent segment of the market. AIA China remains our primary focus and our primary core strategy in the China market. The -- we did extensive due diligence during the investments, and we find the investment case for China Post Life, the financials very compelling. And China Post Life itself has a very unique licensing and operating model which allows them to expand very rapidly in a very cost-efficient manner. Now you talked about the capital efficiency of the product portfolio of China Post Life. And we have seen a shift towards more higher margin and less capital-intensive new business portfolio in China Post Life and -- not just in China Post Life but also in the bancassurance market in China as a whole. So I think we are still going through the regulatory approval process, so I cannot give you too much information about China Post Life. But overall, we are very excited about this investment, which will -- which is highly complementary to our AIA China's growth strategy. Now on capital management?
Garth Jones: Yes, on capital, as I said, Leon, we'll assess our position after we get the RBC finalized. And actually, the C-ROSS Phase 2 -- C-ROSS 2 is also not yet issued and finalized. Along with our usual statements on capital, that remains unchanged. Our first priority is to maintain a prudent balance sheet after stress. The second is to grow our business organically, and that's where the focus will be. And again, you've seen good growth in the first half, 22% growth in VONB, and we produced $26 billion of VONB since IPO. We talked about inorganic opportunities that come along occasionally. You saw the Bank of East Asia opportunity in the first half. which we're very excited about, particularly in the GBA. And then cash and so on back to shareholders. We always look to ways in which we can increase value for our shareholders. You saw another 8.6% increase in the dividend. We've continued to do that, $12.4 billion of dividends back to shareholders since IPO. With all of that, we would expect our LCSM position to remain strong even though, as I said, the RBC and C-ROSS are not clear yet. But hopefully, both will be finalized by the end of the year.
Yuan Siong: You asked me about -- I took up the CEO job from 1st of June last year. So you asked me about what's the positive surprises and I'll talk about 2. One is I think the quality of the talent, the people that we have in AIA and the bench strength itself is also quite something that really came across very strongly in my first year as CEO at AIA. I think the second really pleasant, I think, positive surprise is the fact that we have a very diversified portfolio of businesses, right? So I think China is very important, but China is just one of the growth engines of AIA. The rest of Asia actually contributes to a very significant potential -- contribute a very significant contribution to our VONB and our operating profit and our EV, and we are growing the businesses in all these different segments. So as you saw in the first half, ASEAN showed a very strong new business growth in the first half, and this really supported -- this was a very important contributor to a very strong set of results in the first half of 2021.
Lance Burbidge: Thanks, Yuan Siong. And thanks, everybody, for your questions and for listening. Obviously, if you have any follow-ups, then please come through to us at Investor Relations. So that concludes the teleconference, and have a good day.
Operator: Ladies and gentlemen, AIA 2021 Interim Results Briefing has come to an end. Thank you for joining.